Operator: Good morning, and welcome to Air Products and Chemicals First Quarter Earnings Release Conference Call. [Operator Instructions] Also, this teleconference presentation and the comments on behalf of Air Products are subject to copyright by Air Products, and all rights are reserved. [Operator Instructions] Beginning today's call is Mr. Simon Moore, Director of Investor Relations. Mr. Moore, you may begin.
Nelson Squires: Thank you, John. Good morning, and welcome to Air Products' First Quarter 2011 Earnings Teleconference. This is Simon Moore. Today, our CFO, Paul Huck and I will review our fiscal Q1 results and outlook for the remainder of 2011. We issued our earnings release this morning. It is available on our website, along with the slides for this teleconference. Please go to airproducts.com and click on the scrolling red banner to access the materials. Instructions for accessing a replay of this call, beginning at 2 p.m. Eastern time, are also available on the website. Please turn to Slides 2 and 3. As always, today's teleconference will contain forward-looking statements based on current expectations regarding important risk factors. Please review the information on these slides and at the end of today's earnings release explaining factors that may affect these expectations. Now I'll turn the call over to Paul for a review of our financials
Paul Huck: Thanks, Simon. Good morning, everyone, and thanks for joining us today. Please turn to Slide #4. We are off to a great start to fiscal 2011. For the quarter, sales of $2.4 billion were 10% higher versus prior year on growth in our Electronics and Performance Materials, Tonnage and Merchant segments. Underlying sales increased 11% on 10% higher volumes and 1% higher pricing. Sequentially, sales were higher 2%. Underlying sales were up 1% on higher pricing in Merchant Gases and our Electronics and Performance Materials segments. Volumes were flat mainly due to seasonality. Operating income of $404 million increased 17% from prior year on higher volumes. Our operating margin improved to 16.9%, up 100 basis points versus prior year. We are on track to deliver on our 17% goal for fiscal 2011. Equity affiliate income was up slightly versus prior year. Improved volumes and cost performance were partially offset by a charge for the anticipated sale of a plant in one of our affiliates. Absent this loss, sequential equity affiliate income would have been slightly higher. As we've seen in prior years, our tax rate in quarter one was lower than our expected average rate for the full year due to the timing of certain tax credits and adjustments. We still expect our full year tax rate to be consistent with the 25% and 26% guidance range given last quarter. For the quarter, net income increased 17% and, diluted earnings per share increased by 16%, each versus prior year. Return on capital employed for the quarter improved to 13.2%, up 140 basis points. Turning to Slide 5 for a review of the factors that affected the quarter's performance in terms of earnings per share. Our adjusted earnings per share increased by $0.19. Higher volumes in Electronics and Performance Materials, Tonnage and Merchant segments increased earnings per share by $0.25, year-on-year. The impact of pricing, combined with energy and raw material costs, netted to zero. Costs were $0.02 unfavorable as our productivity gains were more than offset by higher operating and distribution costs. Currency translation and foreign exchange netted to a $0.02 unfavorable impact. And higher non-controlling interest and shares outstanding cost us $0.01 each. In summary, a very good start to the year at the top end of our expectations. Now I'll turn the call over to Simon to review our business segment results. Simon?
Simon Moore: Thanks, Paul. Please turn to Slide 6, Merchant Gases. Merchant Gases sales of $988 million were up 6% versus prior year. Underlying sales improved by 8% on increased volumes and higher pricing. Currency reduced sales by 2%. Year-on-year sales improvement was driven by very strong Asia growth and improving volumes in North America and Europe liquid bulk products. Sequentially, sales were up 4%, primarily due to currency. Underlying sales were up 1%. Merchant Gases operating income of $201 million was up 6% versus prior year and up 8% sequentially. Segment operating margin of 20.3% was flat versus prior year and up 80 basis points sequentially. Sequential margins expanded driven by improved pricing across all regions. During the quarter, we announced the construction of four new projects in India through our INOX Air Products joint venture. Three new merchant air separation units will provide efficient and reliable supply for the strong growth opportunities we are seeing in India. The fourth project will be a piggyback ASU and hydrogen plant to supply gasses to Saint Gobain Glass India and liquid products for the merchant market. These investments strengthen INOX's Air Products' leading merchant presence throughout India. Also during the quarter, we brought China's first air separation unit utilizing LNG cold energy on stream. This JV with CNOOC, the China National Offshore Oil Company (sic) [Corporation] will provide a low-cost supply of over 600 tons of oxygen, nitrogen and argon to supply the fast-growing industrial gases market in Fujian Province. Let me now provide a few additional comments by region. Please turn to Slide 7. In North America, sales improved 6% versus prior year, the largest increase we have seen in over two years. Volumes were up 3% on growth and liquid oxygen, nitrogen and argon. Pricing was up 3% with increases across the portfolio. This was the highest increase in the last seven quarters. LOX/LIN plant loading remained in the mid-70s. In Europe, underlying sales increased 2%, but negative 6% currency reduced overall sales to a negative 4%. Volumes were up 3% with stronger liquid bulk growth tempered by modest packaged gas improvement and lower healthcare volumes. Pricing was down 1% with positive packaged gas pricing, offset by unfavorable healthcare and liquid bulk pricing. Our Europe LOX/LIN plant loading remained in the low 80s. In Asia, sales were up 35% versus last year, with underlying sales up 30%. Volumes were up 25% with strength across all products. Pricing was also strong, up 5%. Pricing was stronger in part due to spot argon in China, as rolling power curtailments reduced steel companies' self-generated argon. LOX/LIN pricing across Asia was up 2%. These sales and volume increases were the highest in over four years. Plant loadings remained in the high 80s. We will continue to bring new capacity onstream over the next few quarters. Please turn to Slide 8, Tonnage Gases. Tonnage Gases sales of $766 million increased 10% versus last year with volumes up 12%. Higher volumes came from loading existing assets and new plants brought onstream in the last year. Sequentially, sales were up 2% with volumes up 5% and energy and raw material pass-through decreasing sales by 4%. Volume growth was driven by new plants. Operating income of $116 million was up 15% versus prior year, primarily due to higher volumes from new plant startups, reduced maintenance costs and improved plant efficiency. Operating margin of 15.1% increased 70 basis points versus prior year due to the lower costs mentioned previously and lower natural gas costs pass-through. Sequentially, operating income was down 1%, and margins declined due to higher maintenance costs. Earlier in the quarter, we announced that our Heartland Hydrogen Pipeline in Alberta, Canada, has been commercialized. And we announced two new pipeline hydrogen supply contracts with Dow Chemical Canada and Evonik Degussa Canada. We also announced a new nitrogen plant of the Isle of Grain LNG terminal in the United Kingdom. This is our third plant to the facility and will support the expansion of the terminal having the capacity to process the equivalent of 20% of Britain's natural gas demand. Please turn to Slide 9, Electronics and Performance Materials. Segment sales of $526 million were up 21% compared to last year on volume increases with flat pricing. Sequentially, sales were up slightly on positive pricing and slightly lower seasonal volumes. Electronics sales were up 30% compared to last year and up 4% sequentially, as the industry pushed well beyond 2008 peak production. We also saw less seasonal decline, particularly at our industry-leading customers. Electronics specialty materials sales increased 13% versus prior year and were down 1% sequentially. Ongoing Tonnage sales were up 16% versus prior year and up 7% sequentially. And our Equipment business was up significantly versus prior year and also up versus prior quarter. Electronics specialty materials pricing was flat sequentially. Performance Materials sales increased 11% versus last year with strength across all markets. Sales were down 4% sequentially due to normal seasonality. Segment operating income of $69 million was up 42% versus prior year due to volume leverage and the benefit of the 2010 electronics restructuring actions. Income was down 18% sequentially due to volume seasonality and an inventory revaluation. Margins improved 190 basis points from last year due to higher volumes and lower costs. They were down sequentially due to seasonally lower volumes and the inventory revaluation. We are on track to deliver the 15% target margin for the segment for FY '11. In terms of new business, in December, we announced the new air separation unit and pipeline at the Tanjeong, Korea site to supply Samsung Mobile Display's newest Active-matrix Organic LED fab. Earlier in January, we announced the supply of nitrogen and bulk gases to UMC's new fab 12 phase 3 and 4 in the Tainan Science Park in Taiwan. And just last week, we announced the formation of our production joint venture to produce high-purity anhydrous hydrochloric acid in Freeport, Texas. Air Products will market our share of the output from this facility, which will provide a reliable supply of HCL, primarily for our Electronics customers. Please turn to Slide 10, Equipment and Energy. Sales of $112 million were up 3% versus prior year and down 13% sequentially, reflecting lower ASU activity. Operating income of $20 million increased significantly versus prior year due to higher LNG activity. Income was flat sequentially. Our backlog is lower both versus prior year and sequentially, but it is expected to improve by the end of the year. Now, I'll turn the call back over to Paul.
Paul Huck: Thanks, Simon. Now if you please turn to Slide 11, I'd like to share my thoughts on our outlook. Our guidance for quarter two is for earnings per share of $1.36 to $1.40 based on the following factors. On the positive side, we expect to see increased earnings sequentially from the following areas: new plant onstreams, including the Weihe Clean Energy Gasifier project and the Xingtai Steel will add to next quarter's results. We also expect the global manufacturing economy to continue its gradual recovery. And equity affiliate income should be higher. Partially offsetting these sequential improvements, in Asia, we expect some slowing around the Lunar New Year holidays, and we anticipate a higher tax rate in quarter two. For fiscal year 2011, the underlying assumptions that we shared on last quarter's call remain unchanged. Our capital expenditure guidance also remains unchanged at $1.5 billion to $1.7 billion, up from last year's $1.3 billion. With one quarter completed, we're raising the lower end of our earnings per share guidance by $0.05, revising our full-year guidance range to $5.55 to $5.70 a share. Now let me give everyone a brief update on our Airgas offer. On December 9, we announced our best and final offer of $70 per share. As we stated in that announcement, it is time to bring this matter to a conclusion. We are disappointed that the Airgas board continues to ignore the will of its shareholders. Airgas shareholders deserve the opportunity to decide for themselves whether they want to accept our $0.70 per share in cash offer. Now let me wrap up. We are off to a great start in fiscal 2011, with growing sales and earnings. We also continue to make significant improvements in our operating margin and our return on capital. We remain committed to delivering returns for our shareholders that will make us the best investment in the industry. The whole team at Air Products is excited by our opportunities and is focused on driving increasing shareholder value in the future. Thank you. I'll now turn the call over to John to take your questions.
Operator: [Operator Instructions] We'll take our first question from John McNulty. [Credit Suisse]
John McNulty - Crédit Suisse AG: First on the Electronics business, clearly the volumes were really solid especially for the seasonality. Can you kind of walk us through maybe what some of the drivers are behind that? And how we should think about that going forward, if there was maybe some inventory-related issues or anything like that that may have driven them a little higher than normal?
Paul Huck: Yes, John. I don't think that there was anything on the inventory side which played a factor. I think as we look at this and we look at the Electronics business, we've said this before, is that coming out of the recession, people preferentially spent their money on consumer electronics. And so if people had an extra $200, $500, $1,000 to spend, that money more often found its way into the consumer electronics area than it found its way into other markets. Also being helped are some of the new devices. The success of the iPhone during this time period, the success of the iPad, tablet computers has driven a lot of that. I think the other thing which has proven to be a good thing is that the large-screen TVs, the LCD TVs continue to sell well. They sold very well at Christmas. There were a lot of concerns with people about what sort of things would happen. Was there too much inventory, too much production capacity? We have not seen that. We've seen our customers run very well throughout that, a good back-to-school season, a good holiday season. All that said, there's always going to be some slowing. And there was some slowing for us. The growth sequentially was not as strong as it had been in other quarters. And we would expect, as I said, in the Lunar New Year impact will have a small impact on us there, too, in the quarter, two, but a very solid market. Inventories appear to be in line very well. Customers seem to be operating extremely well, and we're seeing expansions. We're seeing new orders. You saw the announcements which Simon talked about here.
Simon Moore: Maybe I could just add to it. Very good comments, Paul. I think, particularly, for our customers, where we're pleased to have key positions with the industry leaders, their utilization rates were strong through the period and are forecasted to continue to be strong into the future.
John McNulty - Crédit Suisse AG: The inventory revaluation that you saw in the Electronics and Performance segment, can you quantify what that was and how we should think about that going forward if there's any further adjustments to be made?
Paul Huck: I want to talk about that. That's a good question here for you and for me to go through this. It involves the accounting and the way you account for inventory for us. First off, one of the things which you want to understand is that overall to the company, the impact of this was about zero. So it was not a negative impact for us as the company is concerned, right? In quarter one, what happens is we take our standards and we change our standards. So we take the value which we put to the inventory on 30 September, and we go out and we adjust it to a new value which we're going to use for standard cost in fiscal year '11. For products which are on LIFO, we're going to reverse that at corporate, that impact. So if you write the standard up, you get a gain. If you write the standard down, you get a loss on that. And what we had in Electronics and Performance Materials area is we had a loss. That probably cost us about 100 basis points in margin overall in that segment for us, so if you're looking at the ongoing impact. But actually, what you're not going to see, going forward, is you're not going to see that impact anymore. So it happened. It's a one-time adjustment. And now the cost going through the P&L will be at the lower standard, so it should have the impact of raising margins for us.
Operator: We'll move on to our next question from Jeff Zekauskas. [JPMorgan Chase & Co]
Jeffrey Zekauskas - JP Morgan Chase & Co: You talked about the strength in your Asian Merchant business. Was that across the board in Asia? Or were there particular areas of strength and weakness by geography or sub-geography?
Simon Moore: Yes, it's a good question. I think to highlight that, very significant volume growth in Asia, but also positive pricing. We've talked about positive pricing across Asia the last couple of quarters. We did mention that some of that positive was from some spot argon. But even outside of that, the base pricing was very positive. And that was generally fairly consistent across the regions in Asia. Again, our strong positions in Korea and Taiwan, with the strength of the electronics market, a lot of the merchant products go into electronics there. And certainly, China's economy continues to provide good opportunities for us.
Jeffrey Zekauskas - JP Morgan Chase & Co: And then lastly, what was your backlog in Equipment and Energy as of the end of the quarter?
Paul Huck: It was on the slide there. It's a little over $200 million.
Operator: Moving on, we'll take our next question from David Begleiter. [Deutsche Bank]
David Begleiter - Deutsche Bank AG: Paul, in Merchant North America, it looks like volume growth is moderating. Can you talk to those trends and what you expect going forward from a volume growth perspective, year-over-year?
Paul Huck: Sure, Dave. One of the things which you see in the business here within the U.S. is that you see the economic growth is moderating also. So in 2010 in fiscal year for us, we saw an economy within the U.S. which probably grew around 5% on the manufacturing side. We're predicting growth of 3% to 4% in 2011. And the reason why it grew stronger in 2010 was that the inventory pipeline refilled during that time period. But you've seen it -- another example of an industry which has seen some of those is on the steel industry. Steel industry rebuilt their pipeline and then they brought their operating rates back down. So as we look forward, our basic assumptions of a long, slow recovery in manufacturing seems to be holding well. Everyone, I think, was hoping for more of a V-shape. We did not see a V. We did see some inventory rebuild in 2010. But as far as the dynamics in the U.S. economy, we're still dealing with a high unemployment; consumer confidence, which is getting better, albeit it still isn't great with things. And so everyone is doing what I think is the right thing, including us, watching our costs, paying attention to it, going after the business, at which we're advantaged and which we have opportunities for in the future. But as far as a very strong recovery within the United States, I just don't think it's in the cards until consumer confidence and employment get a lot better for us. We have too much of our economy on the consumer end of things. All that said, I don't see it a double-dip either. So I see long, good, steady, solid growth going forward here for the economy.
David Begleiter - Deutsche Bank AG: And, Paul, just on your large project backlog, you've had a number of announcement wins in the last few months. Could you talk to the size of the backlog and the impact on earnings growth in the next two years?
Paul Huck: Yes. If we look at the size of the backlog right now, it's probably around $1.8 billion or so for us. Capital spending, as we've talked about it, is going to be $1.5 billion to $1.7 billion in 2011. We probably see that also, hopefully, growing in 2012. That's going to depend upon awards which occur in 2011. But there's a number of projects which are out there, especially in countries like China, where production capacity does need to expand for us. So we're very excited about those opportunities. As far as impact on earnings for this year, as we talked about it last quarter, probably $0.30 to $0.40 a share, as far as the onstreams in this year and in last year. A little early to tell what the impact for 2012 is going to be, but I wouldn't expect it to be a lot changed from that.
David Begleiter - Deutsche Bank AG: That $1.8 billion is up versus last year? And if so, how much?
Paul Huck: The $1.8 billion? It's pretty close to about the same, about pretty close to about the same.
Operator: We'll move on to our next question from Laurence Alexander. [Jefferies & Company.
Laurence Alexander - Jefferies & Company, Inc.: First, as you think about your longer-term margins in the Tonnage business, how much of a gap to get to your long-term margin targets would be just volume recovery? So better loading on the assets as opposed to benefits from higher energy prices? And I guess the second question is, are you seeing any change in customer order patterns or urgency as they discuss potential tonnage contracts, given how energy prices have escalated?
Paul Huck: I'll answer question two first, because I guess it's probably a little easier for us. As far as the order patterns are concerned, we have not seen that. There's still a lot of bids which need to be decided and awards which should happen. We would expect that in 2011, that award activity, it will pick up in the industry because of those factors, because of the energy. I think as uncertainty starts to come out of the economy, I think that's also something which is actually important. So as people grow less concerned with a double-dip, both here in the United States or Europe or worldwide, order patterns and demand, people will get more confident around that. So I think that leads to improving orders in 2011 for things. If you take a look at the tonnage operating margins, one of the things which we've talked about for a long time is we invest in this business on return and not upon margin of the business. The margin of the business is impacted by a number of factors. First off on the hydrogen end, a hydrogen plant with the same type of contract as an oxygen plant is going to have a lower margin in this business because what happens is the energy passes through and then the cost of the gas is higher. Whether it's a hydrogen plant or an oxygen plant, we make our money by investing money in these plants and running them well for our customers and building them well and good operations and getting efficiencies in the future. We don't care. And so we try not to establish, really, targets. All that said, higher margins are better with those things. And so what we try to pay attention to is the efficiencies of the plants and how we're doing there. And so with the efficiencies of the plants, that is something which we have made good and steady progress on. It's helped in the margins of this business over time and improved things for us with things. But we don't actually set a margin target is the important thing which you have to understand, Laurence. And so we do try to drive the efficiencies and the returns higher. And that's is what is occurring in the business for us as we go forward here.
Operator: And we'll move on to our next question from P.J. Juvekar. [Citigroup]
P.J. Juvekar - Citigroup Inc: You mentioned that in U.S. margin, you're operating rate is mid-70s; and in Europe, they're mid-80s. I was wondering what's the difference if U.S. is seeing a slightly better recovery than Europe? Is it just that there's too much overcapacity in the U.S.?
Paul Huck: If you take a look at the capacity within the U.S., it's certainly offloaded a lot during the downturn. Prices have held well during that time period. So if you look at the way in which we ourselves and our competitors have gone out and worked through on the business, I think we've operated our plants well. We've paid attention to what's happening in our contracts and what's happening to our costs in this business. So I think within the U.S., the business is operating very well. Remember, the U.S. is spread out a lot with things. And Europe tends to be concentrated more. Around the plants, it's just not as big a land area to deal with in that area. And so as far as our concerns are here, we think the U.S. is in fine shape. There's lots of loading capacity and loading of the capacity to occur. We think that offers a great opportunity for us to grow earnings and grow returns within the U.S. Within Europe, I believe we need to get some of our prices higher with our customers. We would like to see the margins in our European business better and the returns better for us. And I think a market which is tighter actually helps us in that vein.
P.J. Juvekar - Citigroup Inc: And the second question on margin was on India. You're building four new plants, three margin and one piggyback. Is there risk that there is overbuild of margin capacity in India, similar to what happened in China a few years ago?
Simon Moore: That's a great question, P.J. And certainly, in an emerging market where you have increasing demand and increasing capacity, that's something to keep an eye on. I think one of the key points is the three plants -- first of all, the on-site plant we're building for the glass company, we have a strong base load with a Tonnage customer and we add some merchant capacity. The other three facilities are in newer and emerging areas around India, where we see the market growth continuing and we're excited about creating first mover advantages in those geographies as the manufacturing economy in those areas continues to grow. So we have done some good work with our marketing teams there to understand what's there, but truly that first mover advantage of those three plants, which are fairly diverse geographically, we think will bring loading to those facilities over time. So a good question, but these projects, we're confident, will load up over time.
Paul Huck: I think the other thing, P.J., and just to add to what Simon says, is that we have developed a package plant here in this business, which we take and we put in. It is not a very large plant for us. It's about 200 tons a day. And it enables us to go out and to get it into the market early. It's a good efficient cycle for us and gives us a real advantage in moving in to those without creating a huge, large plant to throw down in the area and produce a lot of extra capacity.
P.J. Juvekar - Citigroup Inc: And just quickly on that, what kind of hurdle rate do you use for a Merchant client in the emerging markets?
Paul Huck: It's certainly higher than the rate which we use for one within the United States or Europe because there's obviously more risk associated with that. So we earn a higher return because we're taking a lot more risk in those areas, obviously.
Jeffrey Germanotta - William Blair & Company L.L.C.: That's fair but can you throw us a range?
Paul Huck: I'm not going to give you a number. But if you just think about that, if you take a look at the country in which we're operating in the emerging markets, typically, the cost of capital in those countries is anywhere from 200, 300-plus points higher than within the United States. And then we look to earn a higher return on that, a higher spread because the risk of the loading of those plants is greater.
Operator: We'll now move on to our next question from Mark Gulley. [Soleil securities]
Mark Gulley - Soleil Securities Group, Inc.: First of all, with respect to the microelectronics industry, can you update us, Simon, on what your outlook now is for squariing the silicon prices. I believe the last quarter it was just 5% to 10%, which seems to be pretty modest now that we've seen your results in this quarter and everything that Paul talked about in terms of some of the new product cycles that are going on?
Simon Moore: Good question, Mark. So we did provide a forecast of 5% to 10% MSI growth last quarter. Quite frankly, we'd say we still see things in that range. I think one of the dynamics, quite frankly, we see is that our leadership position with the industry leaders perhaps allow us to mitigate some of the seasonality that the industry might have seen. So I think that's consistent with our forecast going forward at this point.
Mark Gulley - Soleil Securities Group, Inc.: I guess I would have thought that if you're well positioned with industry leaders, and if they're leaders, that they would pull that number higher, but I guess you're just not willing to go there quite yet?
Simon Moore: Well, again, quite frankly, I think there's -- it's not just our view. Obviously, there's a lot of perspective on where the electronics industry is going. We think that's fairly consistent with other forecasts that are out there. So we feel pretty good about that guidance we gave last quarter.
Mark Gulley - Soleil Securities Group, Inc.: And then with respect to Merchant prices in Europe, given the higher operating rates, and given higher power rates, I'm a little surprised that you're not able to get the price increases that you're getting elsewhere in Asia and in the U.S. Any thoughts on why the European pricing structure just won't move?
Paul Huck: We have actually seen it move in the past. So we would expect it to be effective here going forward in the future here.
Simon Moore: Just a quick note, add on that that. Actually, sequentially Europe pricing was slightly positive, Mark.
Operator: And our next question comes from Don Carson. [Susquehanna Financial Group]
Donald Carson - Susquehanna Financial Group, LLLP: Two questions, one on the tonnage front, you talked about the potential for signing some new business. I'm just wondering if you can outline where that new business might be? I know you've signed some contracts for hydrogen in Alberta. There's talk of reviving some oil sands projects like Fort Hills. Is that an area of increased opportunity for you?
Paul Huck: As far as the oil sands, Don, we would not expect to see an order any time within the next year or so probably with that, and given what's happening in those areas. But if you take a look at the on-site area for us and where we are, and looking for activities, we continue to pursue jobs within China, certainly, is the area of the largest activity, but also within the U.S., the Middle East are also areas of activity for us, too.
Donald Carson - Susquehanna Financial Group, LLLP: A follow-up on Merchant. I mean, again, you got relatively low operating rates, you said, but you're still getting price at 3%. Is this price a true increase in price or is it really cost recovery? And specifically can you talk about the trends in pricing on your new business signings in North American Merchant? Are they higher than your existing book?
Paul Huck: If you take a look at the signings, the signing activity is very competitive. And so in general, on the new business, which is coming in, the prices are lower for us. If you take a look at the price increases, a lot of that is driven by cost for us and trying to recover cost at this point in time.
Donald Carson - Susquehanna Financial Group, LLLP: So that suggests that this 3% isn't sustainable or it's only sustainable to the extent that you think costs continue to go up and you try and recover them? So essentially, real pricing isn't increasing then, is it?
Paul Huck: What happens, Don, is that in this market at the loadings, we're able to maintain our margins very well. So that is the good news. We have taken actions on cost, taking action to recover costs, principally our cost as power has gone up, as fuel has gone. We've been able to do a good job of being able to recover those costs. We will continue to do that. I think that's a very positive sign for us going out and looking at -- in trying to take a look at the future for us. So I think the price situation within the U.S. is in good shape and being managed well.
Donald Carson - Susquehanna Financial Group, LLLP: You talked about margins in Merchants, so as you get additional volume growth there, what kind of incremental margins would you get compared to your average margin at 20.3%?
Paul Huck: We're still looking at probably about a 35% average incremental margin on that business.
Operator: And we'll move on to our next question with Mike Harrison. [First Analysis]
Michael Harrison - First Analysis Securities Corporation: I have sort of a different question on the Merchant business in Europe. I was wondering if you could talk about how the Packaged Gas business there has been trending? Are you seeing any signs of improvement and what's been going on with pricing on the package side in Europe?
Paul Huck: As far as the business on price, and we have gotten some price increases in that business. Once again, we're trying out there very much to recover our costs, as steel costs and things like that go up. On the volume side, the volumes of that business are still depressed for us and are flat at best at this point in time.
Michael Harrison - First Analysis Securities Corporation: And in the Tonnage business, I was wondering if you're seeing any of your customers, and this is globally, any of your customers operating at rates that are high enough that we might see some operating bonuses this year?
Paul Huck: I think, yes. And we saw some in 2010 also, operating bonuses. The operating bonuses really depend upon the operations of their products, not so much the operations of the base, on the volume of our customers. It really depends upon how well the availability of our plants and the reliability of our plants is.
Michael Harrison - First Analysis Securities Corporation: If I could ask one more on the Electronics and Performance Materials business, the margin there, you said may be 100 basis points of headwind related to this inventory revaluation. We still saw then about 200 basis points of margin pressure, quarter-on-quarter, despite an increase in the top line. And I think it probably bears maybe some further color, if you guys could provide it?
Paul Huck: Sure. On the inventory impact, obviously there. And then when you look at this, if you take a look at the drop in the Performance Materials sales and what we saw. And volume decline in the area drove a good portion of those changes there, too, for us. So it was related to the mix of the products in which we go through there.
Operator: And moving on, we'll take Kevin McCarthy. [Bank of America Merrill Lynch]
Kevin McCarthy: With regard to the Merchant Gases business in Asia, your volume there accelerated more than twofold to 25% from 11% in the fiscal fourth quarter. Were there any competitor outages or other extraordinary issues that would have boosted that number? Or would you consider it a representative underlying rate?
Simon Moore: Good question, Kevin. No, we didn't have any special filling in for competitors or anything like that. Again, kind of a little bit more on the price side. We did mention some of the spot argon opportunities that we had. But the underlying consistent growth rate was very strong.
Kevin McCarthy: And I guess to follow-up on the pricing side in Asia. You mentioned LOX/LIN underlying would've been plus two versus the plus five that you reported for the region. Is argon structurally tight? Or was that boost more transitory in nature, such that you'll likely regress to the low-single digits in coming quarters?
Simon Moore: SO again, this was more driven by some of the rolling power outages imposed in China. We see those kind of have tailed off now, so we wouldn't necessarily see that argon spot opportunity again. Though I think we are extremely pleased by the base increases, whether they be 2%, 3%, something like that. In a high-growth region like Asia, being able to deliver real pricing improvement is a great job by the team out there.
Kevin McCarthy: And then lastly, Paul, on the project pipeline with regard to the $1.8 billion size. Could you just comment on the average returns that you're seeing? Are they flat, up or down in any meaningful way as you see the activity roll through?
Paul Huck: Yes, and the returns on average have stayed about the same for us, if I look at that on an IRR type of return.
Operator: We'll move on to our next question with Edward Yang. [Oppenheimer & Co.]
Edward Yang - Oppenheimer & Co. Inc.: Air Products has always been overweight, the energy sector, relative to some of its competitors and oil prices are moving back up. Do you have an update in terms of what your total exposure to the energy sector is at this point?
Paul Huck: If you take a look at that, if you take a look at it from the business which Air Products has, we have -- probably about 25% of our sales go into that area.
Edward Yang - Oppenheimer & Co. Inc.: And on Electronics, again, you mentioned that the impact on segment margins from the inventory revaluation was 100 basis points, but the effect on the total company was zero. We'd just like some clarification on that.
Paul Huck: If you take a look at that, the other places which happened is that in the other areas, there were some small gains and then there is an offset in corporate which occurs.
Edward Yang - Oppenheimer & Co. Inc.: And finally on Electronics and Performance Materials, pricing was flat this quarter. And in the last four quarters or so, it's been consistently negative. So is that your expectation, going forward, that price should be a positive contributor, going forward, in that business?
Paul Huck: What we would expect is that price is not going to be a large factor going forward in the business for us, either positive, either up or down right now, which is obviously, very good news, given the things which have occurred in our history here.
Simon Moore: I think we see perhaps a moderating of the downward pressure in the Electronics, particularly in the Specialty Materials business. And so as Paul said, we think that that would be stable going forward as opposed to the declines we have seen.
Operator: And we'll move on to the next question from Bob Koort.
Brian Maguire: This is Brian Maguire on for Bob. Just a question on Slide 5 of the deck, I think it's the EPS bridge from last year to this year. I think there was about $0.02 headwind from costs. I'm just wondering if you could just dive into some of the components of that? And maybe talk about what the impact of higher compensation or higher pension would have been in the quarter? Or what your assumptions are for the full year?
Paul Huck: Certainly, Brian. First off, I mean as far as on the cost for $0.02, one of the things which you have to consider is we have a $0.25 gain in volume and only $0.02 up in costs. The volume one is done at the contribution margins. So this is all of the fixed costs, which we had, all the drivers and stuff like that. So we're very happy with that sort of performance for us.
Brian Maguire: And then just one last one on Equipment and Energy, obviously a big jump in margins there. Part of that was just the year-over-year comp. I wanted to get a sense of how sustainable that rate of growth is as we go a little bit further in 2011?
Paul Huck: In that area, I think -- and we've talked about this before, is that we sell two perpetual products in that area: the LNG heat exchangers, where 100% of what we supply is value-added, which is the present design; and the exchanger which is manufactured by Air Products. So the margins in that business are higher than in the Air Separation business, where we buy in a lot of the equipment and purchase equipment. We purchase compressors, heat exchangers, et cetera for the customers and bring that. So as a percent of sales, the margin just is not as high in that business. And so the margin for that business drops, moves around a lot. We're very pleased by the growth year-to-year in that business for us. We think that's a good sign for us. LNG has driven that growth as the mix has shifted more to LNG in this past year.
Edward Yang - Oppenheimer & Co. Inc.: So it's a mix issue more than anything else?
Paul Huck: It is, yes. It is a mix issue.
Edward Yang - Oppenheimer & Co. Inc.: And that could have the potential to continue for...
Paul Huck: Yes, that's right. And the margins for the bulk of 2011, given the backlog which we have, is LNG is going to be a strong growth driver throughout 2011 on the profits. Then if we get more orders in the Air Separation area, that will take margins down. But we look at this, it will also contribute profits in this business. We don't have a lot of capital invested. And we get payments in advance, so it's a self-financing business. And so as we look at this, it's something in which we look at it on a project-by-project basis as far as accepting or bidding on jobs.
Operator: Moving on we'll take our next question from David Manthey. [Robert W. Baird]
David Manthey - Robert W. Baird & Co. Incorporated: Of the 12% volume growth in the Tonnage business, can you tell us approximately how much this quarter was due to new plant startups on that growth rate? And then if you could tell us about 2011 based on the pipeline if you have an approximation of what might be additive to growth?
Paul Huck: Yes. If we take a look at 2011 for us, we probably think about half of the growth overall is going to come from that. And that's what we saw in Q1.
Operator: At this time, we have no further questions. I'd like to turn the call back over to Mr. Moore for any additional or closing remarks.
Simon Moore: Thanks, John, and to everybody who joined us on the call today. Please go to the website to access a replay of this call beginning at 2:00 p.m. today. Again, thank you for joining us and have a nice day.
Operator: Ladies and gentlemen, that does conclude today's conference call. Thank you for attending.